Operator: Good morning and welcome to the Waters Corporation Third Quarter 2020 Financial Results Conference Call. All participants will be in a listen-only mode until the question-and-answer session. [Operator Instructions] This conference is being recorded. If anyone has any objections, please disconnect at this time. It is now my pleasure to turn over the call to Mr. Bryan Brokmeier. Sir, you may begin.
Bryan Brokmeier: Thank you, operator. Good morning, everyone, and welcome to the Waters Corporation third quarter earnings conference call. Before we begin, I will cover the cautionary language. During the course of this conference call, we will make various forward-looking statements regarding future events or future financial performance of the company. In particular, we will provide commentary on potential market and business conditions the company anticipates for the fourth quarter and full year 2020. We caution you that all such statements are only our present expectations and that actual events or results may differ materially. For a detailed discussion of some of the risks and contingencies that could cause our actual performance to differ significantly from our present expectations, see the Risk Factors included in our Annual Report on Form 10-K for the fiscal year ended December 31, 2019 in Part I under the caption Risk Factors, and in our most recent Quarterly Report on Form 10-Q for the quarter ended June 27, 2020 in Part I under the caption Risk Factors, both of which are on file with the SEC, as well as the cautionary language included in this morning's press release, including with respect to risks related to the effects of COVID-19 pandemic on our business. We further caution you that the company does not intend to update any of its predictions or projections except during our regularly scheduled quarterly earnings release conference calls and webcasts, or as otherwise required by law. The next earnings release call and webcast is currently planned for February 2, 2021. During today's call, we will be referring to certain non-GAAP financial measures. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures are attached to our earnings release issued this morning and available on the company's website. In our discussions of the results of operations, we may refer to non-GAAP results, which exclude the impact of items such as those outlined in our schedule titled, Reconciliation of GAAP to adjusted Non-GAAP Financials, included in this morning's press release. Unless stated otherwise, references to quarterly results, increasing or decreasing, are in comparison to the third quarter of fiscal year 2019. In addition, unless stated otherwise, all year-over-year revenue growth rates, including revenue growth ranges given on today's call, are given on a comparable constant currency basis. Now, I'd like to turn the call over to Dr. Udit Batra, Water's President and CEO. Udit?
Udit Batra: Thank you, Bryan, and good morning, everyone. Before I begin with the content, let me say I'm honored and thankful for the opportunity to lead Waters and work with such a talented and dedicated team. It has been a very busy eight weeks. Along with Bryan, our CFO, Sherry Buck, is joining me in today's call. During the call, I will provide a brief overview of our third quarter operating results and then share some of my early impressions of the company and the opportunities that I see. Sherry will then review our financial results in detail and provide comments on our fourth quarter financial outlook. We will then open up the phone to take your questions. Let's start with the third quarter. Our teams have worked tirelessly during the pandemic to stay close to our customers. We've seen a cautious, return to work by our customers, and this has reflected in our results. After a steep decline in the second quarter, third quarter sales were up 2% year-over-year on a constant currency basis and adjusted earnings per share grew 1%. First, from a customer perspective, our largest segment, pharma, was the primary growth driver in the quarter, with 4% organic growth, followed by industrial, which grew 3% and academic and government, which declined 7%. From a product perspective, our Waters branded products and services grew 3% organically, while TA declined by 8% on a constant currency basis. Improving access to labs, especially in pharma, continue to help drive growth in the recurring revenues. Services grew 4%, while consumables business grew approximately 7% organically, driven largely by pharma. Consumables remain a growth area for us. In fact, earlier this month, we introduced our ACQUITY premier columns, which reduced variability, risks and safe time when analyzing metal loving analytes ranging from oligonucleotides, peptides, glycans and phospholipids. The chemistry on the surface reduces unwanted analytes to surface interactions to produce real improvements in sensitivity, peak shape and recovery. The third quarter was strong for our mass spec systems with double-digit growth. We were encouraged by the demand of our high-resolution mass spec systems in pharma and biomedical research, particularly in the US and Europe, and the demand for our Tandem Quad systems in food safety in China. BioAccord also grew nicely in the quarter. However, it still does not represent a material portion of our revenue. With its simplicity and dedicated workflows in Peptide Mapping, glycan analysis, intact mass and oligonucleotide analysis, we believe it is the right instrument to bring LC-MS into the manufacturing in QA/QC space. I have spent time with several of our customers who are using BioAccord instruments and many of them highlighted its ease of use and a robust feature set that can be utilized across multiple lab applications. So I think BioAccord has a good future, but I also think it will take longer than originally anticipated to significantly impact our core growth. This is a dynamic Waters has seen with prior new product launches, such as Acuity, which took almost four years to reach its peak sales. LC instruments also saw a better quarter after double-digit declines in the first half of the year, with a modest decline in Q3. Some of this improvement can be directly attributed to Arc HPLC, which was launched in June. Finally, to TA, revenues continue to decline in the high single digits, due to constrained capital spending at our industrial customers. Pharma and electronics revenue saw a nice double-digit increase, but this was not enough to offset the industrial declines. Turning to our key geographies. Both the Americas and Europe grew mid-single digits, while Asia was flat. In the US, the growth was driven by pharma, food and academia, partially offset by declines in material science and clinical. We saw especially strong engage with customers who are assisting the fight against the pandemic. Latin America remained soft, mostly due to the continued impact of closures due to COVID-19. Europe also experienced a recovery with mid-single-digit growth, largely driven by biologics, CROs and generics, including strong growth at large pharma accounts. After very significant declines in the first half, China grew at low single digits, driven by an acceleration in food and pharma, as well as strength in TA instruments, driven by investments in 5G networks across the country. This was partially offset by continued weakness in academia and government. India also recovered with double-digit growth. The third quarter benefited from some catch-up of revenues, which was delayed from the first half of the year and looking ahead, while customer activity and access are improving, we remain cautious. We continue to face variability in our end markets and macroeconomic concerns tied to COVID-19, and academic customers - customer trends remain depressed. Moreover, we are uncertain on the level of capital spending in the fourth quarter, particularly by our pharma and industrial customers. Now let me share with you some of my early thoughts on the company. As the formal researcher who has used Waters products in the lab as an engineer who has modified rheometers and DSCs and as a former customer, my - I believe my 25 year experience at pharma and tools has prepared me well to work with my colleagues to transform Waters. Indeed, it is a transformation to return a champion to where it belongs. Since the announcement in mid-July, I spent most of my time listening and learning. I met with investors and shareholders, including many of you, talked with and visited customers, read and research and conducted many deep dives with my colleagues around the globe. My learning is far from done. But today, I can share with you the ideas that resulted from this deep transparency phase. First, Waters has built a solid foundation with exposure to a number of attractive end markets. Second, despite this strong foundation, our momentum has stalled in the last few years. Third and finally, we are already developing a transformation plan with tangible short-term actions. Let's take each of these in turn. First, we have a solid foundation in attractive markets, our largest end market pharma benefiting from growth of biologics and continued development of novel modalities. Moreover, our strong base in small molecules, which represents approximately 75% to 80% of pharmaceutical industry sales, will benefit from the growth of CROs, oligonucleotide and mRNA therapeutics, as well as the increasing potential for repatriation of small molecule manufacturing. We have a global footprint with 25% of our sales coming from China and India. We have a solid base in these markets that is characterized by trusted brands, deep customer relationships and a culture that is rooted in science and engineering. In my customer meetings, Waters' employees are acutely aware of the issues facing our customers and are so tightly integrated with them that I often had a tough time distinguishing between our employees and that of our customers. Finally, as we look to strengthen to further strengthen this space, our high margin and free cash flow gives us the flexibility to continue to invest. Second, despite this strong foundation, we have underperformed both our historical growth and that of the market for the last few years. Our performance has trailed the market in LC, mass spec and thermal analysis. We were slow to respond to the transition of food testing from government labs to contract testing labs in China. Our product launches have not met expectations that we set. BioAccord, while the product that clearly meets the need, has been slower on the uptake than anticipated. Our culture is one that appreciates deep scientific insights, but one that has lacked focus and urgency. Strategically, the focus of our - strategically, the focus on our portfolio on LC, LC-MS and thermal analysis has limited our ability to keep up with emerging trends like bioprocessing, contract manufacturing and testing or diagnostics. This is evident in our lack of exposure to tailwinds from COVID-19 as compared to some of our peers. Third, so where to from here. While we are still continuing an in-depth analysis and developing our transformation strategy, some teams are already emerging. And let me break these into three. First, in the near-term, we are focused on making changes to regain commercial momentum. Second, in the mid-term, the focus is on the pipeline and organic growth with intense focus [ph] and urgency. And finally, as we strengthen our organic growth, we will start to examining strategic investments. Let me give you some concrete examples on it in the near term. First, we are squarely focused on regaining our footing in LC instrumentation. For instance, we have identified all the units in both our installed base and in the larger empower network and implemented a specific program to upgrade and replace older systems with Waters HPLC instrument portfolio, including with the new Arc HPLC. For example, there are thousands of Alliance systems in service that are more than 20 years old and in need of an upgrade. Second, approximately 20% of our consumable sales go through the e-commerce channel. For many of our competitors, this number is over 50%. In the near term, we are implementing actions to increase traffic to this channel, such as increasing paid search and improving search engine optimization. Third, our penetration in CRO channel trails our competition. We will increase our commercial presence to penetrate this growing channel at a level that better aligns with our peers. Fourth, as I mentioned earlier, we still have a lot of faith in the success of BioAccord. Customers in QA/QC are conservative, and we need to spend a lot more time developing methods in collaboration with them and further developing enterprise level software to help them deploy system seamlessly. As you can see, there are near term actions that are backed by detailed targets and KPIs. However, I want to be clear, these changes will take time and will not significantly impact our results overnight, especially as we implement these initiatives amid the background of COVID-19. However, I can assure you the team is very engaged and have seen an impressive increase in drive and ambition in the eight weeks that I've been here. With that, I'd like to pass the call over to Sherry Buck for a deeper review of the third quarter financials. Sherry?
Sherry Buck: Thank you, Udit. And good morning, everyone. In the third quarter, we recorded net sales of $594 million, an increase of approximately 2% in constant currency. Currency translation increased sales growth by approximately 1% resulting in sales growth of 3% as reported. In the quarter, sales into our pharmaceutical market increased 4%, sales into our industrial market increased 3%, while academic and governmental markets declined 7%. Looking at our product line growth, our recurring revenue, which represents the combination of precision chemistry products and service revenue, increased by 5% in the quarter, while instrument sales declined 1%. As we noted last quarter, there was no year-over-year difference in the number of calendar days during the third quarter. Chemistry revenues were up 7% in the third quarter, driven by strong pharma market growth. On the service side of our business, revenues were up 4%, as on-demand service bounced back to mid single-digit growth, along with continued growth in service plan revenues within the Waters product line. Breaking third quarter product sales down further, sales related to Waters branded products and services grew 3%, while sales of TA branded products and services declined 8%. Combined LC instrument platform sales and LC-MS instrument platform sales were flat, and TA's instrumentation system sales declined 10%. Looking at our growth rates in the third quarter geographically, and on a constant currency basis, sales in Asia were flat, with China up 3%; sales in the Americas grew 2%, with US growing 5%; and European sales grew 5%. Before I comment on our third quarter non-GAAP financial performance versus the prior year, I'd like to update you on the progress of our cost actions in response to the COVID-19 pandemic. We are on track to achieve cost savings of approximately $100 million for the year relative to our pre-COVID internal plan. We achieved approximately 25% of our planned annual savings in the third quarter, bringing our year-to-date savings against our internal plan to 85%, with the majority recognized in the second quarter. We expect to realize the remaining 15% in the fourth quarter. Returning to our third quarter non-GAAP financial performance, gross margin for the quarter was 55.8% compared to 58.2% in the third quarter of 2019, primarily as a result of unfavorable FX, as well as fixed cost absorption and sales mix. Moving down the third quarter P&L. Operating expenses increased by approximately 1% on a constant currency basis, and foreign currency translation increased operating expense growth by approximately 2% on a reported basis. The increase was primarily attributable to the timing of variable cost in the prior year quarter and FX. In the quarter, our effective operating tax rate was 15.8%, which was about flat for the prior year. Net interest expense was $7 million, a decrease of about $1 million. Our average share count came in at 62.3 million shares, a share count reduction of approximately 7% or about 4 million shares lower than in the third quarter of last year, as a result of shares repurchased through the end of the first quarter of 2020, subsequent to which we paused the subsequent to which we paused the share repurchase program. Our non-GAAP earnings per fully diluted share for the third quarter increased to $2.16 in comparison to $2.13 last year. On a GAAP basis, our earnings per fully diluted share decreased to $2.03, compared to $2.07 last year. A reconciliation of our GAAP to non-GAAP earnings is attached to the press release issued this morning. Turning to free cash flow, capital deployment and our balance sheet, I'd like to summarize our third quarter results and activities. We define free cash flow as cash from operations, less capital expenditures and excluding special items. In the third quarter of 2020, free cash flow grew 53% year-over-year to $190 million after funding $28 million of capital expenditures. Excluded from free cash flow was $7 million related to the investment in our Taunton precision chemistry operation and a $38 million transition tax payment related to 2017 U.S. tax reform. In the third quarter, this resulted in $0.32 of each dollar of sales converted into free cash flow and $0.31 year-to-date. Our increased free cash flow is primarily a result of our cost savings actions and improvements in our cash conversion cycle. We continue to make good progress on our working capital improvement plan. Accounts receivable days sales outstanding came in at 76 days this quarter, down four days compared to the third quarter of last year, and down 11 days from the second quarter. Inventories decreased by $42 million in comparison to the prior year quarter, reflecting stronger revenue growth and revised production schedules. Waters maintains a strong balance sheet, access to liquidity and a well-structured debt maturity profile. We ended the quarter with cash and short-term investments of $397 million and debt of $1.6 billion on our balance sheet at the end of the quarter. This resulted in a net debt position of $1.2 billion and a net debt-to-EBITDA ratio of about 1.6 times at the end of the third quarter. We also have $1.2 billion available on our bank revolver for total available liquidity of $1.6 billion at the end of third quarter. Our capital deployment priorities remain consistent: invest for growth; balance sheet strength and flexibility; and return of capital to shareholders. We remain committed to deploying capital against these priorities. Our future capital structure target of approximately 2.5 times net debt-to-EBITDA remains unchanged. While our near-term focus is maintaining financial flexibility in light of variability in the macro environment. While our share repurchase program is paused during the fourth quarter, it still remains an important part of our capital deployment priorities. We will provide an update on our capital deployment plans during our Q4 earnings call in February of 2021. Lastly, I would like to make a few comments on our outlook. Market conditions remain variable, largely due to the COVID-19 pandemic. As a result, we are not in a position to provide detailed guidance. However, I'd like to provide you with color on how we're viewing market conditions in the fourth quarter. We assume similar levels of customer access, as we saw in the third quarter, which reflects the challenging macro environment. Our outlook does not anticipate a return to lockdown seen earlier in the year at the height of pandemic. And in addition, we believe that some delayed purchases from the first half of the year were realized during the third quarter, and there is limited visibility in future end capital budgeting plans for both pharma and industrial customers in the fourth quarter. In light of these dynamics, we anticipate that fourth quarter revenue on a constant currency basis will most likely decline at a low to mid single-digit rate. In addition, I'd like to provide a few other assumptions that will be helpful for modeling purposes. Recurring revenue benefited from two additional calendar days in the fourth quarter of 2020 compared to 2019, which is factored into our outlook. We now expect full year operating expenses to be in the range of down 1% to flat year-over-year in constant currency. For the full year, at current rates, currency translation is expected to be about neutral to sales growth, to positively impact operating expense growth by less than 1 percentage point and to negatively impact earnings per share by about 3 percentage points. For the full year, net interest expense is expected to be in the range of $38 million to $40 million, primarily due to lower debt levels. Now I'd like to turn the call back to Udit for some summary comments. Udit?
Udit Batra: Thank you, Sherry. In summary, we're pleased with the third quarter results, but market conditions remain variable amid ongoing macroeconomic uncertainty, lingering concerns around fourth quarter capital spending by both pharma and industrial customers and academic customer trends. Overall, I believe that we have a solid foundation, but to return to our deserved place in the tools industry, we need to improve our operational execution in the short term and focus our teams on what matters. And then in the mid term, our focus will return to strategically building our portfolio. With that, we will now begin the Q&A session. Operator?
Operator: Thank you. We will now begin the question-and-answer session. Our first question is coming from the line of Tycho Peterson from JPMorgan. Tycho, we've now opened up your line.
Tycho Peterson: Hey. Good morning. Good to connect with you Udit. I think as was being thought about kind of the portfolio review, prior management had obviously acknowledged in share loss and the high-resolution part of the market is. You look at the portfolio today, has your view on the share loss differed from what we heard previously from management? How much do you think could be captured by revitalizing the R&D organization? Can you talk a little bit more about the upgrade opportunity you alluded to? And where do you see gaps or potential divestitures, if those are on the table as well? Thanks.
Udit Batra: Broad question, Tycho. Thank you, very much, and good morning. Look, I've been here only eight weeks, and I've been spending most of my time in listening and learning. But let me start by reemphasizing that we have one of the best bases in the industry. If you ask me, what do you want as a starting point? I would have said pharma, informatics in China, and there you have it. That's Waters. So as I've said, we have indeed lost some momentum in the last few years. And I think you're right, call out the share loss in LC and mass spec and thermal analysis. We have indeed lost some of this momentum, and we need to build it back step by step. While the long-term plan is far from complete some of the near-term actions to address the commercial momentum are really clear, we've already actively started to work on identifying and replacing healthy instruments that are almost two decades old in more cases, and the Arc HPLC is a good new product to do so. From a channel perspective, I think we can increase our e-commerce presence given that close to 20% of our consumables business goes through this channel. And from a customer perspective, we have the opportunity to increase our penetration in CROs. So in summary, we are acting on some short-term plans. And overall, we hope that in the mid-term, we are able to return to a sustained growth, hopefully, in line with the market, but it's too early to get into any more specifics.
Tycho Peterson: Okay. And then for the follow-up, two of the questions we've gotten a lot from investors are on the level of reinvestment that's going to be required. So I'm wondering from a higher level, I know you don't want to talk too much about 2021 but to what degree should we think about you guys sacrificing margins for growth going forward and really reinvesting on the business? And then number two, on capital deployment, I know it's early. You're not ready to talk about M&A yet, but you obviously have a good track record from your experience at Merck KGaA with some big transformative deals. So how should we think about your broader views on M&A over the long haul? Would you consider something more transformative down the road? Thank you.
Udit Batra: Tycho, thanks for the question. And I think the answer is as expected. Look, everything is on the table. I mean, right now, we're just delineating the plan. All I've focused on is to get going with a no regret moves. And if some of them require additional investments, we'll look at it, and we'll look at the return, and we'll do it. From a long-term perspective, in rebuilding the portfolio, all options are on the table, but I think it's too early to comment on it. I think we first need to get our operational execution back on track. And we will continue to identify near term actions. And as we identify them, we will get going. So I'm not waiting to finish the planning before starting motion. So basically, I've just given you three, four examples of what we've already started. I hope that clarifies the current focus. It's really on getting the momentum back, while we build the long-term plan. And as that emerges, we'll share it with you.
Tycho Peterson: Okay. Thank you.
Operator: Our next question is coming from the line of Vijay Kumar. Vijay, your line is now open. You may open up your line.
Unidentified Analyst: Hi. This is Daniel [ph] on for Vijay. Thanks for taking the questions. So first, any color on quantifying the instruments catch up benefit in 3Q? And is there any change to how you're thinking about the 4Q budget flush, or is it the same as three months ago?
Udit Batra: I think on the catch-up, no, I don't think we'll be able to quantify that for you any further. As far as Q4 is concerned and catch-up, look, we're first, very, very relieved and happy with the low single-digit growth that we've seen, and which is better than anticipated, especially after the decline in the first half. So under the circumstances, we're quite happy with these results. As to Q4, while the long-term prospects of the business are quite robust with solid growth in pharma and nice exposure to China and India, it's really difficult to predict what will happen in Q4, especially given the uncertainty that many customers are still facing due to COVID-19. And the fact, that close to 50% of our sales for the fourth quarter comes in December, we remain cautious. Additionally, as I mentioned, we had some catch-up from the first half of the year in Q3, which might not repeat. So despite all of this uncertainty, our focus is really on short-term execution. So really not much more to say about the capital outlay in Q4. But we're closing
Unidentified Analyst: Thanks for the color. And then my follow-up, any more color on drivers of margins? It looks like gross margins came in below Street models, but then you guys beat on the OM line. So just any color on drivers there would be very helpful?
Sherry Buck: Thanks for the question. Yeah. So if you look at our gross margins, it came in at 55.8%, and there primarily two big drivers around that. About half of that impact was driven by FX. And then rest of that was primarily strength, primarily mix due to the strength in our MS portfolio with - double digits. And just if you step back a little bit and look at our gross margin performance over the course of the year, it's been variable due to a variety of factors. This quarter, it was impacted by COVID. Second quarter, our gross margins were up really helped by our cost actions. And so if I really step back and look at our year-to-date gross margin performance, we're at 56.5% versus 58% last year and about 100 basis points of that was really due to FX factors. So as I look at the top line being down in the 6% range through year-to-date, I think we've done a pretty good job of managing the costs in a challenging environment. So those are the primary drivers for our Q3 gross margins.
Unidentified Analyst: Thank you for the call.
Operator: Our next question is coming from the line of Michael Ryskin from Bank of America. Michael, your line is now open. You may now read your question.
Michael Ryskin: Thanks. This is Mike on for Derek. First, I want to follow-up some earlier comments. You had some interesting specifics on the BioAccord. Just given it's been promised for so long as the next major future growth driver. I was just curious what specific steps do you think you've outlined to accelerate that and to get that to deliver on the promise? And it's interesting, you also flagged the ACQUITY and the time it took for that to ramp up. And obviously, the major contributor is today. Is that something we should use as a road map for BioAccord specifically? And how do you feel is that being a major growth driver going forward?
Udit Batra: Thanks for the question. Look, let me first start by saying that there is a clear unmet need in QA/QC release of biologics, and this is especially apparent to me, given my previous background in bioprocessing. BioAccord is exactly the right product to fill this gap. I've had a chance to talk to some of my - some of the customers and many of my old colleagues who are using BioAccord for testing of biologics. And with its simplicity and dedicated workflows in peptide mapping, Glycan analysis, intact mass an oligonucleotide analysis, this is the right instrument to bring LC-MS into QA/QC. And I want to make sure that I stated that before I made any other cautionary statements. In fact, we have seeded BioAccord virtually in all large pharma's already. However, as you know, it takes years for a new product to embed itself in the conservative QA/QC environment. And as I mentioned, ACQUITY took close to 4 years. You can start to use that as a reference, but I'm sure we'll dig out other references of products that have taken probably equally long in that space. So while the product is very good, I don't expect it to move the needle in the short term. Over the long term, it has very, very good prospects, and we continue to develop its applications. So I hope that gives you color on BioAccord. In terms of specific steps, really, it's about talking to the customers, getting it seeded and doing the market development cautiously and diligently. That's where we're focused now.
Michael Ryskin: Okay. That's really helpful. And I want to stick on some of the new product launches in the pipeline. I mean, Waters has had a pretty steady cadence of products in the last 12 to 18 months more on the mass spec side, SELECT SERIES Cyclic to SYNAPT XS. I'm wondering, as you re-examine the portfolio and sort of lay out the road map, is there any promise in these products? Is there something in the pipeline that you think you can point to? Is it a little bit more of a harder reset on the innovation front?
Udit Batra: It's also a very good question. Look, apart from BioAccord, you mentioned the refresh of the mass spec portfolio, both on the higher end Cyclic and SYNAPT and on the tandem quad, and this is Xevo TQ-S, GC, Xevo TQ-S cronos and coincidently, all of these products have done very well in Q3. This is why we see a double-digit growth of mass spec, a high res mass spec in the U.S. and in rest of Europe. And our tandem quad portfolio for food safety testing and traditional Chinese medicine in China. So we're seeing some good uptake for these products. So the focus on new product development will continue. And on the LC side, you've seen Arc HPLC launch, and this is really a major contributor to our revival and I would say, less decline in the LC instrument space that you saw in Q3, and we are continuing to focus on that. So in a nutshell, even a higher focus on portfolio development. And secondly, realizing the full potential of the launches that have taken place, not just BioAccord, but also the rest of the mass spec portfolio as well as the LC and the consumables portfolio.
Michael Ryskin: Thanks Udit and congrats.
Operator: Our next question is coming from the line [indiscernible] from Cowen. Doug, your line is now open.
Unidentified Analyst: Hi. This is Ryan on for Doug. Thank you for taking my questions. Maybe following up first and the last question. I just want to confirm, again, really encouraging mass spec commentary. Can you talk a bit more about how you view the portfolio today versus competitors and do you believe that Waters is positioned to at least maintain mass spec share moving forward after these new product launches? Or do you believe that more work is needed on mass spec innovation to sustainably return to market growth in MS?
Udit Batra: Look, I'll go back to saying. I've been here only eight weeks, and I'm still listening and learning. So I have the full right to change my view as I learn more about our portfolio. I am excited by what I see, especially on the mass spec side. I'm excited by the breadth of the portfolio we have. If I'm not mistaken, it is one of the widest in the industry, ranging from high res to tandem quads and to also BioAccord as a first - in somehow first-in-class. So I feel we are reasonably well-positioned. That does not mean we will stop our investment in the area. Don't ask me how fast we will get back to our original share. We are intensely focused on realizing the full potential of these products, as you already saw in Q3. The commercial teams are very focused on this. Our collaborators are giving very good feedback on the product launches. So I'm very optimistic, but I would say it's early days, and I want to learn more before I can give you any more concrete information.
Unidentified Analyst: Got it. And then on LC, so competitors have talked about share gains in chromatography in recent years. I believe this is the first time that Waters has acknowledged LC market share loss. Did I hear that correctly? And if so, can you talk about why you believe Waters is losing share in LC? And what actions can be taken separate from a more active focus on upgrading older instruments?
Udit Batra: Yeah. Look, I cannot judge what the exact loss in share is, but we definitely have lost the momentum in the last few years. I think that you can be certain of comparing our results to our past and perhaps even some competitors. And I would break the action down into three parts. We're very focused on rebuilding our portfolio, and you saw what I talked about on the Arc HPLC, and this will allow us to replace the already installed base in Alliance, which is now roughly two decades old. So this is something we have a lot of attention focused on. Secondly, on the consumables side, our premier columns were just launched, and these are for metal loving analytes and oligonucleotide as some of those, which are - which I don't need to tell you, are a strong contributor to growth in the future. And then finally, we think from a channel perspective, we are - we have been under represented in the CRO channel, and the teams are highly focused on developing that. So it's a rather comprehensive examination of our LC presence. And we're really pulling all the levers ranging from portfolio to portfolio, both on the instrument and the hardware side - sorry, on the hardware and the consumables side, from a channel perspective, this is CROs and also from a geographic perspective. And the last thing I'll mention is that on many of our competitors have a significant portion of their consumables business going through e-commerce. And given my recent experience on e-commerce, I believe we can take some short-term tactical actions to start catching up. I mean 20% of our revenues in consumables goes through e-commerce. And for many of our competitors, it's close to 50%. So a pretty broad-based push towards LCM, and I'm confident that we'll start to see some shift in momentum.
Unidentified Analyst: If I could sneak in one more. You talked in your prepared remarks about Waters inability in recent years to keep up with emerging trends like bio-processing, contract manufacturing and diagnostics. Do you believe that you have the right products to more aggressively go after those opportunities? And it's a matter of commercial execution? Or do you believe that there's gas in Water's current ability to address those emerging trends? Thank you.
Udit Batra: I think the answer is the mix, right? So - and as I said, it's only been eight weeks. So it's all the necessary caveats. Look, the answer is the mix. From the overall - we're very happy to have about 60% of our business go to pharma. Pharma remains the most attractive end market. 30% of that business is focused on large molecule, like, which, as you outlined is the faster-growing segment. Now that said, the small molecule segment of pharma is also very attractive. I mean, look, it's still 80% of the pharmaceutical companies revenue, and that's in small molecules. With recent events, anti-virals have grown quite rapidly as an oligonucleotide and we've seen that show up in our business in small molecules. So small molecules is not something that we shy away from, but your question was more around portfolio towards biologics. So 30% of our business is - 30% of our pharma business is focused on that direction. And we intend to continue to innovate and continue to push organically on that side. And once we've - once we've done that, once we feel comfortable and confident with our commercial execution, given our existing portfolio, we will look at portfolio expansion, and there will be a time for it. It's just simply not today, and I don't have any specifics on that front. I simply mention that because you - when you look at Waters' results, it's very much a core business performance, and we're very happy with it. We don't have a lot of COVID-19 tailwinds in our results. So whatever change in momentum you see is meaningful and sustainable over the long-term because we're really getting it from the core business.
Bryan Brokmeier: Next question?
Operator: Thank you. Our next question is coming from the line of Dan Brennan from UBS. Dan, your line is now open. You may now raise your question.
Unidentified Analyst: Hi, this is Nathan [ph] on for Dan. I guess, starting off, can you break down the pharma growth in the quarter, I guess, between small and large molecule? And then, I guess, what percentage of pharma customers are back in the lab? How much did that change from Q2? And was this percentage return similar to your expectations?
Udit Batra: I didn't understand the second part of your question, so I'll start with the first one, and then I'll give you the opportunity to come back. Small versus large, look, both small molecules and large molecule pharma saw very nice growth. And regionally, especially in the U.S. and in Europe, it was actually double-digit across both of those segments. In fact, our top pharma customers of 25 pharma customers grew in the mid-teens. And in China, also, we saw low single-digit growth in large molecules and small molecules were mid-to-high single digits. So really nice broad-based growth, and you can also see that reflected in our consumables strength. And again, looking at China, this was in the high double-digits. So nice growth across both small and large molecules, as many of our pharma customers start to increase their experiments in labs. I didn't catch your second question. Would you mind repeating it?
Unidentified Analyst: Sure. The second question was focused more around how many of your pharma customers are back in the lab? And how did that trend kind of to your prior expectations? But I guess just to add on to that, can you give a little more color on the low single digit, mid single-digit decline you expect in Q4, kind of, was baked into pharma and industrial growth expectations? And I guess, how much of a benefit do you expect from the two extra days?
Udit Batra: So I'll start with the first one, and I'll let Sherry comment on the Q4. Look, in terms of customer activity, I can give you three activity, I can give you three dimensions. The service dimension, the consumables consumption dimension, and access to our - for our sales teams. Let's start with consumables. I mean, we've seen the experimentation go up in the labs and consumables growth is mid-to-high single digits and went into the double digits for China. So across all regions, especially in pharma, we start to see activity in the labs, as measured by our consumables revenue. As far as our service - access for our service teams is concerned, we saw some return to normal, especially in China and in Europe and increasing steadily in the U.S., but I would not conflate that with pre-pandemic levels, right. So our service engineers have a very different experience these days and they visit customers apart from having PPE and doing testing before they go to many customers. The duration of the visits are much shorter, as customers have them in, and they want them out after a certain specific period of time. So while the overall activity and access to labs for service engineers has increased, it is still not like it used to be prior to the pandemic. And then finally, from a direct sales perspective, our sales engineers, I would say, have 15% to 20% access, especially in the U.S. and in Western Europe versus what they used to pre-pandemic, and they're really leveraged webinars and a lot of virtual interaction. And many of them, in fact, I was with the sales team in the U.S. recently. And many of them say, look, we hope the customers are willing to engage in the same way, even post the pandemic because it's highly efficient and effective, it prevents unnecessary travel, then you don't need to. And of course, there is no substitute for face-to-face interaction when we're able to do it. Yet that said, there are some benefits that are coming out. So I hope that gives you more color on the access. For the Q4 question, I'll pass it on to Sherry.
Sherry Buck: Thanks, Udit. As we are looking at our Q4, I'd say, first of all, just as we saw our Q3 results, we were pleased with the trends that we saw there. And as Udit mentioned, we did see in the Q4 some realization of delays from the first half. So there's quite a few variables that are really happening. And as we look into Q4, the visibility to year-end capital budget plans is very limited, especially in pharma and industrial. And we do think we'll still continue to see the same level of customer access. But just due to those different variability's, we're guiding or have an outlook of low to mid single-digit rate growth. Not really breaking down the visibility into the end markets just because of a lot of differences there. But some the trends we saw in Q3, we would expect to continue to see some of those strengths in the pharma business.
Unidentified Analyst: Thank you.
Operator: Our next question is coming from the line of Dan Leonard from Wells Fargo. Dan, your line is now open.
Dan Leonard: Thank you. For starters, Udit, I appreciate your repositioning on the BioAccord messaging. How are you thinking about Waters connect [ph] which was the other effort put on a pedicel a couple of years ago at investor event?
Udit Batra: Yes. Look, I mean, Dan, firstly, thanks for your question and your interest in informatics. It's early days. I mean, I haven't yet been able to dig into each and every area in the business to the extent I would like. But on our informatics - on our informatics presence overall. Firstly, in this particular quarter, we have seen some nice return to growth, very much tied to our mass spec instruments. Now if you break it down, and that growth has especially come on the back of MassLynx, and UNIFY. As I think about Waters connect in my early orientation, the ambition is to set up a connected system across all our different platforms. It brings Empower, NuGenesis, UNIFY and MassLynx and Progenesis together in a single platform. The early uptake in some of our customers has been good, especially for certain mass spec instruments and the BioAccord is also on the same platform. We've got very good feedback. It's been quite system across all robust but the rollout still continues. So it's early days, Dan, but the early feedback on Waters connect has been quite good. And I have experienced that personally with some of my old friends and customers. I recently visited, just to give you an example, I recently visited our Immerse Center in Cambridge, and we had some customers from nearby come over and use the BioAccord as well as some of our more recent mass spec launches and it's really a seamless experience. But more on that later, as I learn more, and you'll hear more about it as it gets rolled out, and we hear more from customers. But early feedback is very good and Water's connect is already out there.
Dan Leonard: Appreciate that. And then maybe for my follow-up. You mentioned an opportunity in repatriation of small molecule manufacturing. Can you elaborate a bit on that more? How would you frame that for investors?
Udit Batra: Yes. It's - look, again, it's early days, Dan. I mean we've been hearing that - we've been hearing early conversation from many of our customers that there is a potential opportunity to repatriate the production of small molecules. We've talked to some of our - some of our academic collaborators also on continuous processing of small molecules. So there's a lot of interest, but no real concrete opportunities yet to quantify what exactly that opportunity would be. So you can imagine, as that happens. And if it happens and as that happens, Waters is very well positioned to serve as the QA/QC providers especially for LC and MS in that space. So early indicators, and I was only referring to some of the indicators and direct conversations I had with some customers, but no quantification to date.
Dan Leonard: Okay. Appreciate the past. Thank you.
Udit Batra: You're welcome.
Operator: Our next question is coming from the line of from Steve Beuchaw from Wolfe Research. Steve, your line is now open. You may now raise your question.
Steve Beuchaw: Hi, good morning and thanks for the time here. Just two for me. One is, so Udit, when I hear your prepared remarks about the strategy, it makes a lot of sense. And when I think about what might be a little different for the Waters approach here relative to others. The size of your installed base is clearly one of the big deltas relative to what some others might be thinking about. But what I wonder is, if you could give us a little bit of an appreciation for us and details around, why it is that, that's something that you can catalyze when it hasn't happened previously, and how do you do that in the field? And how do you think about the competitive dynamics going after this replacement cycle in that space? Why would that be different from other verticals? And then I do have a follow-up. Thank you.
Udit Batra: Sure. Look, I wouldn't call it a strategic initiative. I would call it a tactical, no regret move. When you learn that roughly over 8,000 of your Alliance instruments in the field are over 20 years old, you obviously ask the question, can you and replace it. And when I was presented with that fact, I asked team, what can we do to replace it is their custom - are there customers who would want to do it, and the obvious answer is, yeah, I mean we should, but we haven't really gone after it specifically. So if you ask me about the tactical execution, we have the names, the ZIP codes of the customers who have these Alliance instruments, as you well know from your Waters history. With the 80,000 or so installed base, 8,400 is about - I think, about 8,400 is the Alliance base, which is over 20 years old. So we know exactly where they are. And the intent is to go and have a conversation with the customers, especially now I feel more confident when I saw the results for Arc HPLC, given its superior performance for that particular segment, I would think that there is an impetus to move customers to it. From a competitive standpoint, we feel very well-positioned because customers have had a very good experience with Alliance over the years. It's a robust instrument, especially within power as it's informatics backbone. And we think that the transition is possible. Now don't ask me if all and at what fraction at what rate this will happen. This is why I'm not giving you concrete time lines and concrete quantification of how fast this will happen. But it is something that we feel has a potential to capitalize growth.
Steve Beuchaw: Okay. Much appreciated it. And then I wanted to follow-up on the commentary regarding expectations for the fourth quarter. It's always difficult to forecast the fourth quarter because of year-end dynamics. And, of course, this year is more difficult than most. But just to make sure that people had as much of a calibration as they can for how things are evolving, I wonder if you'd be comfortable speaking to order trends through 3Q and here in October or even new indications of interest just to give folks a sense for how things are evolving because it's not necessarily true that you're seeing any pullback in a situation where just because of budget flush dynamics 4Q might impact the down year-on-year? And then I'll jump back in queue. Thank you.
Udit Batra: I'll let Sherry comment on Q4. Go ahead, Sherry.
Sherry Buck: Yes. Hi Steve, thanks for the question. So as you look at our Waters business and how quarters play out, much of our business is done in the last month of the quarter. Coming into this quarter, I mean, market conditions are still pretty similar. And things are progressing as we expect. But it's really too early to pinpoint that really given the variability with some of the dynamics with COVID, et cetera. And I'd say we're very much focused on our execution. We have several leading indicators that we're looking at as far as access to our service and to labs and those are things that we will monitor and execute. But we're just really focused on those things and just with the visibility and the variability there are providing that kind of an outlook for the fourth quarter.
Udit Batra: I mean, Steve, just to embellish just a little bit, I think no real change in trends, but we are cautious because 50% of the revenue, as Sherry has informed me, comes in December for Q4, and it's very much dependent on the capital of place. So very difficult to predict, especially in this uncertain environment, how much that capital outlay is going to be. And that's the number one reason why we feel a bit cautious. But really, I mean, nice momentum into Q3 and nice shift from Q1 and Q2. And we are all hoping that it remains, but difficult to predict.
Steve Beuchaw: Got it. That's great color. Thank you, again.
Operator: Our next question is coming from the line of Sung Ji Nam. Sung Ji, your line is now open. You may now raise your question. And by the way, Sung Ji is from BTIG.
Sung Ji Nam: Thanks for taking the question. Udit or Sherry, could you help me reconcile the decline - the growth in the industrial segment and also the decline in the - versus the decline in the TA business? I'm sorry if I missed it. Was it largely due to the material science segment being weaker and then food and environmental testing being stronger?
Udit Batra: Sure. Firstly, on the TA segment, Sung Ji - on the TA business, TA has continued an 8% or so decline, as we mentioned. And China was really the bright spot with mid-teens growth, especially in the semiconductor space and the U.S. with low single-digits. The other regions continue to decline, and that affected the overall number. And you're right to say that it's especially in the materials and the polymer segment. I must say, you didn't ask, but I'll tell you, I had the chance to visit my colleagues at TA in Newcastle, Albert virtually. I am so excited about the technological depth and the leadership in rheology, calorimetry, mechanical analysis. I also spoke to some of my old professors. I'm a chemical engineer by training, both undergrad and graduate school and our academic collaborators and we see a terrific future for structured property relationships that we're measuring with TA. So there are short-term challenges, and we've been pretty transparent about those. But I believe the future of this business is very, really good. As far as other commentary on the industrial segment, I mean, we saw - and then you would recognize that we report food under industrial, especially food safety in China, food in the United States, both saw growth, and this is what also drove the industrial segment in addition to the semiconductor growth that you saw - that we saw in China. Europe was flattish in the industrial segment. I hope that gives you the color you wanted.
Bryan Brokmeier: Operator, we have time for one more question.
Operator: Our last question is coming from the line of Jack Meehan. Jack your line is now open. And by the way Jack is from Nephron Research.
Jack Meehan: Thank you. Good morning. Udit, I wanted to push you a little bit more on some of the urgency around business investment. If you look across the landscape now, you mentioned how some of the tools companies, your peers are seeing big COVID tailwinds, and they're also making pretty significant investments back in their business. Can you just help us understand, why does it make sense for you to push ahead with some of the cost savings programs from earlier this year when you're trying to reposition yourself for better growth?
Udit Batra: Yes. Jack, I should have expected that question from you. I'll start on the cost savings part, and then I'll give you a view on how I see future investments and some concrete ideas there. Please go ahead, Sherry.
Sherry Buck: Hi, Jack, yeah. So as we - at the beginning of the year and as we saw COVID impact, we felt like it was important to take these cost actions as we were going into Q2, particularly as being that is our most challenging quarter. So most of those cost actions have been completed through the end of July, particularly around employee related items as we've had furloughs back and over stored hours and salaries. And as we were doing this, though, we were also looked at projects that we would continue to support and prioritize. And so I'd say largely, those are behind us. There's still a few things in fourth quarter. But things that we delayed, we don't feel like impacted near-term milestones. And I think we're very well-positioned from both our cash flow results that we had this quarter as well as from a balance sheet to look at the right investments in the business for growth. And I'll let Udit carry on those - some of those thoughts.
Udit Batra: Sure. Jack, on the investment side, look, there's - as I mentioned, there's need for commercial investment on the CRO side. We are underrepresented in that segment virtually globally. So as soon as we quantify what that looks like by region, in Europe, we've already started. As other regions come forward, I mean, we will be going to support it. Second, on e-commerce, we are underrepresented in the market versus our peers. And I have some history in that area. So I can tell you that there will be some investment in e-commerce as we come back. First, with the existing platform, especially increasing paid search and search engine optimization and then revitalizing the platform in the mid-term, that will require investment. And I mentioned replacement of the old Alliance systems with Arc HPLC and other - with other hardware, that too will require specific training and focus from our field force, and we're getting ideas for investments there. I expect to be able to leverage our existing infrastructure there, but if there's need for investment, we will not shy away from it. These are value-creating initiatives one doesn't need to be a rocket scientist to understand that. And then on new product development, I mean, while I have not finished examining our product development areas, it is absolutely clear that more effort needs to be placed in market development. And you guys were interested in BioAccord, but there are other launches also that have taken place recently on the mass spec side, on the high res, on tandem quad, they require market development. There will be investments in that direction. So both from a market development standpoint and investments in commercial infrastructure, we will not shy away from any value-creating ideas. And I've already tattered off a few, and it's only been eight weeks since I've been here. I see tremendous, tremendous opportunity in our business.
Udit Batra: At this point, I want to go towards concluding the call. Thank you all for your participation. Despite the uncertain environment created by COVID-19 and the challenges that Waters has faced in the last couple of years, I have never been more confident in my decision to join this company. I hope that was apparent to all of you in the statements that I made. There is an incredible amount of talent in our organization, and we have a tremendous opportunity in front of us to turn the business around with improved execution in the short-term and then a renewed focus on growth in both organic and other strategic investments in the future. So on behalf of our entire management team, I'd like to thank you for your continued support and interest in Waters. We look forward to updating you on our progress during our Q4 2020 call, which we currently anticipate holding on February 2, 2021. Thank you all, and have a great day.
Operator: That concludes today's conference. Thank you all for your participation. You may now disconnect.